Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Wheaton Precious Metals’ 2020 First Quarter Results Conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would like to remind everyone that this conference call is being recorded on Thursday, May 07, 2020 at 11:00 a.m. Eastern Time. I will now turn the conference over to Mr. Patrick Drouin, Senior Vice President of Investor Relations. Please go ahead.
Patrick Drouin: Thank you, operator. Good morning, ladies and gentlemen, and thank you for participating in today's call. I'm joined on the line today by Randy Smallwood, Wheaton Precious Metals' President and Chief Executive Officer; Gary Brown, Senior Vice President and Chief Financial Officer; and Haytham Hodaly, Senior Vice President of Corporate Development. I'd like to bring to your attention that some of the commentary on today's call may contain forward-looking statements. There can be no assurances that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. In addition to our financial results cautionary note regarding forward-looking statements, please refer to the section entitled Description of the Business Risk Factors in Wheaton's annual information form and the risks identified under Risks and Uncertainties in management's discussion and analysis both available on SEDAR and in Wheaton's Form 40-F and Wheaton's Form 6-K, both on file with the U.S. Securities and Exchange Commission. These documents, together with the Q1 2020 MD&A and the press release from last night, set out the material assumptions and risk factors that could cause actual results to differ, including, amongst others, fluctuations in the price of commodities, impacts on Wheaton or mining operations in which Wheaton purchases precious metals as a result of an epidemic including the COVID-19 pandemic, which related to mining operations from which Wheaton purchases precious metals, the continued ability of Wheaton's counterparties to satisfy their obligations under precious metal purchase agreements and the impact of material change in facts, law or jurisprudence on the CRA settlement. It should be noted that all figures referred to on today's call are in U.S. dollars, unless otherwise noted. In addition, reference to Wheaton or Wheaton Precious Metals on this call include with Wheaton Precious Metals Corp. and/or its wholly owned subsidiaries as applicable. Now, I'd like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Patrick, and good morning ladies and gentlemen. Thank you for joining us today to discuss Wheaton’s first quarter results of 2020. Before I begin, I would like to start off by saying that I hope everyone has been keeping healthy and safe during these challenging times. It's hard to believe how much the world has changed since our last quarterly conference call. At Wheaton, our top priority remains the health and safety of our employees and the communities in which we operate. In response to the COVID-19 virus pandemic, we have made several changes to our business to ensure a seamless transition to working remotely, as well as launching initiatives to help support our communities and the communities around the mines from which we receive our precious metals. I will provide further details and updates on Wheaton’s response to COVID-19, including the effects on our partner operations and guidance after Gary discusses our first quarter results. On that note, I am pleased to report that Wheaton had a very strong start to 2020 with over $177 million generated in operating cash flow in the first quarter, an increase of 50% relative to 2019, driven by the strength in precious metals prices. And we declared a quarterly dividend of $0.10 per common share in line with the minimum quarterly dividends set by the Board of Directors for the duration of 2020. So, now, I'd like to turn the call over to Gary Brown, Senior Vice President and Chief Financial Officer, who will provide more details on our results. Gary?
Gary Brown: Thank you, Randy, and good morning ladies and gentlemen. The company’s precious metal interests produced 182,200 gold equivalent ounces in the first quarter of 2020 comprised of 94,700 ounces of gold, 6.7 million ounces of silver and 5,300 ounces of palladium. Relative to the first quarter and the prior year this represented an 8% increase in gold equivalent production with gold production being virtually unchanged while silver and palladium production increased by 19% and 12% respectively. Although gold production in Q1 2020 was consistent with the prior year, Salobo production increased by 3% despite the throughput being negatively affected by the rainy season and unscheduled maintenance. San Dimas produced 10% more gold with mill operating at over 2,200 tons per day during the quarter and Minto contributed over 2,000 ounces of gold production having been in care and maintenance during the comparable quarter of the prior year. These positive variances were offset by lower gold production from Sudbury and Constancia due to the mining of lower grade material and in the case of Constancia lower throughput. The increase in silver production was primarily the result of a significant increase in grades in recovery at Peñasquito, resulting in record attributable production. The increase in palladium production is reflective of the Blitz project ramping up and the Fill the Mill campaign at the East Boulder operation. Gold equivalent sales amounted to 166,100 ounces in the quarter, representing a 4% decrease from Q1, 2019 primarily due to the sale of a significantly large amount of gold produced in prior quarters occurring in the first quarter of 2019, relative to Salobo. This was partially offset by a 15% increase in silver sales volumes driven by the increased silver production in Q1, 2020. As of March 31, 2020 approximately 88,400 payable gold ounces, 5.3 million payable silver ounces and 4,900 payable palladium ounces have been produced but not yet delivered to company. We estimate the normal levels for payable ounces produced but not delivered to equate to approximately two to three months for gold, two months for silver and three months for palladium, with the balances at the end of Q1 being consistent with these levels. Revenue for the first quarter of 2020, amounted to $255 million, representing a 13% increase relative to Q1 2019 primarily due to an 18% increase in the realized selling price on a gold equivalent basis. With this price increase being partially offset by a 4% decrease in gold equivalent sales volumes. Of this revenue, 63% was attributable to gold, 33% was attributable to silver and 4% was attributable to palladium. Driven by this increase in sales prices, gross margin for the first quarter of 2020 increased 41% to $123 million highlighting the leverage our business model provides to increases in precious metal prices. Cash based G&A expenses, amounted to $12 million in the first quarter of 2020 representing a decrease of $4 million from Q1 2019, with the decrease being primarily related to lower accrued costs associated with the performance share units or PSUs. Interest costs for the first quarter of 2020 amounted to $6 million resulting in an effective interest rate and an outstanding debt of 3.03%, as compared to $13 million of interest costs and an effective interest rate at 4.28% incurred in Q1 2019. Net earning amounted to $95 million in the first quarter of 2020, compared to $57 million in Q1 2019. Basic earnings per share increased 62% to $0.21 compared to the $0.13 per share in the prior year. Operating cash flow for the first quarter of 2020 amounted to $178 million or $0.40 per share compared to $118 million or $0.27 per share on the prior year, representing a 48% increase on a per share basis. Based on the company’s dividend policy, the company's Board has declared a dividend of $0.10 a share payable to shareholders of record on May 22, 2020. Under the dividend reinvestment plan, the Board has elected to offer shareholders the option of having their dividends reinvested in newly issued common shares of the company at a 1% discount to market. For 2020, the company currently estimates that non-stock based G&A expenses, which exclude the expenses relating to the value of stock options and PSUs, will amount to approximately $40 million to $43 million. This represents a $2 million to $3 million increase from our previous guidance reflecting the recently announced $5 million community support and response fund designed to address the immediate needs of the communities in which Wheaton operates as well the communities around the mines in which the company has a precious metal interest During the first quarter of 2020, the company repaid $159 million on the revolving facility and received proceeds from exercise of stock option in the amount of $7 million. Overall, net cash increased by $23 million in Q1 2020, resulting in cash and cash equivalents at March 31 of $127 million. This combined with the $716 million outstanding under the $2 billion revolving credit facility, resulted in a net debt position as of March 31 of $589 million. As announced, the company established a $300 million at-the-market or ATM program on April 16, 2020, under which capital can be raised through the modest issuance of common shares, ensuring that the company has [sufficient] [ph] assets that this form of capital should it require itself to execute on its accretive growth strategy. That concludes the financial summary. With that, I turn the call back over to Randy.
Randy Smallwood: Thank you, Gary. The company is keeping up to date on developments surrounding COVID-19 and has taken steps to protect the health and safety of our employees and the community, as well as measures to minimize any impacts to our business. In accordance with local government restrictions and guidelines, Wheaton closed its physical offices in mid-March and successfully transitioned to telecommuting for all of its employees. We have always maintained digital or detailed business continuity plans, and as such the transition to telecommuting has been seamless, resulting in uninterrupted flow of business. And that includes continuing to pursue additional accretive acquisitions. Our corporate development team is very active and has been advancing a number of opportunities, some of which we were fortunate enough to have completed site due diligence trips prior to this pandemic. We may be locked down, but we aren’t locked out of growing our high quality portfolio of assets. With regard to our current portfolio, in late March, we completed a thorough review of operations with our counterparties to better understand their policies and procedures around COVID-19, and they’ve continued to closely monitor our operations ever since. As of May 5, 2020, six partner operations located in Mexico and Peru were temporary suspended, subject to government restrictions focused on reducing the spread of COVID-19. These include the Constancia, Yauliyacu, San Dimas, Los Filos, Peñasquito and Antamina mines. The restrictions on non-essential activities in Mexico and Peru are currently scheduled to be lifted by the end of May. And given the low cost, high margin nature of our portfolio, our assets generally provide the maximum economic benefits, to not only our partners, but to all stakeholders, including governments and communities. Especially during these challenging times, the benefits of these mines are needed the most, which is why we are confident there will be a focus on getting these mines back up and running. Given the temporary suspensions and the uncertainty surrounding timing on April 1, Wheaton withdrew its production guidance for 2020. We are regularly assessing the impact of the COVID-19 pandemic on our partners mining operations and we will provide an update on our guidance when we have more confidence on the restart schedule for these mines that are under temporary suspensions. And although both Wheaton and our partners have been impacted as a result of this pandemic, it is clear that many of our neighbors in the community face even greater challenges and will continue to do so over the coming months. In response, we launched a $5 million Community Support and Response Fund, the CSR fund for short, to support global efforts to combat the COVID-19 virus pandemic and its impacts on our neighbors. The majority of the CSR fund around $4 million will be targeted to the communities that are directly influenced by the mines in which we have precious metal streaming agreements. And the remainder will be allocated to local charities here in Vancouver and in Grand Cayman. We are working closely with our partners to identify the needs of these communities – of the community and to assess where these funds could help fill an immediate gap. We have already identified initiatives with our partners around the Salobo, San Dimas, Constancia, Sudbury, Stillwater, 777, Voisey’s Bay, Aljustrel, and Stratoni mines that will target providing resources such as mobile lab facilities, ventilators and personal protective equipment to those local communities as well as providing support to local food banks and charities. It is during challenging times like this when charity is most important. It is just the right thing to do. In summary, the first quarter of 2020 was a strong start to the year. We have no doubt that COVID-19 will have an impact on our second quarter and that’s 2020 as a whole. But the strength of our business model coupled with the quality of our existing portfolio gives us confidence that we will rebound from this. Not only that, but we remain optimistic that we will be able to continue growing the company and add additional production from long life assets producing in the lowest half of their respective cost curves. While we are well positioned to grow our portfolio, should there be any accretive opportunities, our top priority is the health and safety of our employees and the communities in which we and our partners operate. So with that, I would like to open up the call to questions operator.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. [Operator Instructions] And your first question here comes from the line of Cosmos Chiu with CIBC. Please go ahead. Your line is now open.
Cosmos Chiu: Thanks, Randy, Gary and Patrick for the conference call here. Maybe my first question is on the acquisition pipeline and due diligence. On the Franco-Nevada conference call earlier today, they talked about unique or novel sort of alternatives to doing due diligence. I’m just wondering if you’re also looking at potential alternatives to doing due diligence. And I guess the second part of my question is Randy, as you mentioned, some of the potential targets, you had the opportunity to actually do due diligence before COVID-19. Have you done at those assets enough due diligence for you to be comfortable to pull the trigger at this point in time? And then I have a follow-up question as well.
Randy Smallwood: Sure. Cosmos, I’ll start off and then let Haytham step in. But I’m going to start off by saying that, I will say that going through this pandemic and the response that we’ve had, there are things that we are learning here that that we will probably take out of this and help us improve our overall operations. And one of them is the ability to digitally connect amongst businesses and amongst people not having to be face to face and being able to sort of audit data and the likes. We really had to sort of step up on that front out of necessity, but there’s skills and benefits that we are gaining out of this whole process that will help an overall performance in the future. And so, I don’t know, Haytham, you want to add a bit more to that?
Haytham Hodaly: Yes. Yes, you bet. Hey, Cosmos, good morning. Thanks for the question.
Cosmos Chiu: Hi, Haytham.
Haytham Hodaly: Cosmos, the primary hurdle to consummating new transactions in the near-term is typically an inability to complete onsite due diligence due to travel restrictions. We did spend a significant portion of our time, as Randy mentioned earlier in the fourth quarter of last year and the first quarter of this year, on the road visiting sites, which does provide us with an advantage over others who didn’t get to those sites before the travel restrictions came into place. I would hope that that will allow us to consummate transactions for opportunities that meet our stringent hurdles on that. I think obviously the most important of which is accretion. Now, hopefully by the time we need to visit new sites for new opportunities that are coming forward here in the near future, this virus has been eradicated and everything else is back to normal. If not, we’ll continue to find ways to get comfortable with new high quality transactions to further grow this company. And you know what? There’s various options. One of the options that people are considering are virtual tours. Others are utilizing onsite consultants. Other options are continuing to utilize our early deposit structure, which provides us with an option to move forward once the feasibility study has been completed and the remaining funding is in place. So it allows us to put up just only a small amount upfront especially for the development stage projects. So we’re looking at all avenues. But I can tell you everything we’re looking at right now, we’ve been to those sites and we’re very comfortable moving forward from a technical perspective, assuming – sorry, let me go back. We’re very comfortable moving forward, assuming it passes our overall technical review. The technical aspect of the site visit has been completed.
Cosmos Chiu: Of course.
Randy Smallwood: But you can be sure, Cosmos – Cosmos, you can be sure, I love getting my hands dirty at these projects and I’ll be getting onto the ground as fast as I can just to smell and get the sense of what’s really there.
Cosmos Chiu: Of course. And Randy, I guess my follow on question is, are you seeing more opportunities in gold or are you seeing more opportunities in silver?
Randy Smallwood: I would have to say, and again, I’ll let Haytham chime in too. But I would have to say that what we’re seeing opportunities developing here right now is byproducts from the base metal section. Base metal operations, base metal companies are not doing as well as the precious metal companies out there. And so now it comes down to byproduct from both lead-zinc mines or copper-nickel mines. Copper-nickel tends to be biased more towards the gold space. Lead-zinc seems to be biased more towards the silver space. Currently, I would say we’re about 50-50, but Haytham, I’ll let you clarify that one.
Haytham Hodaly: That’s exactly right. What we’re seeing is base metal company is looking for ways to strengthen their balance sheet as Randy said. And the majority of the – I’m sorry, all the opportunities we’re looking at right now are precious metals and they’re about 50-50 split.
Cosmos Chiu: Sure. Maybe switching gears a little bit here, just I see that Pampacancha or Constancia, of course, they couldn’t reach some of the minimum requirements in 2019. Hence you’re getting additional 8,000 ounces in 2020. Could you walk me through that contract again? And then in terms of – is there any other minimum coming up in 2021 in terms of additional ounces you can receive?
Randy Smallwood: Well, as it was reported, we did defer – we gave them an extra six months to satisfy that completion test, instead of being at the end of the year. And again, this is a matter of just supporting our partner, Hudbay. We’ve got multiple agreements with them and providing them support in terms of that. So we did extend the completion test for the Pampacancha zone until June 30 of 2021. It was originally scheduled for December 31. And so, yes, the way that works is that we get 2,000 ounces per quarter if they haven’t satisfied. I mean, I can’t remember the specific tonnage, but it’s a certain amount of tonnage that has to be mined from the Pampacancha zone by that time, I want to say a 4 million tons of ore something like that, but I’m not sure of the exact number. And then – and that’s – how that’s specified. That’s the only criteria on it. Pampacancha is very important for us and very important for them. We get 50% of the gold from that. The other 50%, of course, stays with Hudbay and it is a very gold rich zone on that deposit. And so there’s a real strong incentive. We know that Peter and his team over at Hudbay are very, very focused on getting that thing moving forward. To be honest, there was no physical work planned over this period on Pampacancha. They still have to get through the final government approval process. Now that they’ve got the community on board, they have to make sure that the government is in agreement. And so it is sort of still a paperwork session. It’s not physical work that’s being missed. And so I’m pretty comfortable, I mean, it’s a very fluid situation obviously, but I’m pretty comfortable with their capability of satisfying that completion test before the end of June.
Cosmos Chiu: Great. Thanks Randy. Those are all the questions I have. Thanks a lot.
Randy Smallwood: Thank you Cosmos. Thanks for the call.
Operator: [Operator Instructions] Your next question here comes from the line of Ralph Profiti with Eight Capital. Please go ahead. Your line is now open.
Ralph Profiti: Good morning. Thanks for taking my questions. Randy, I'd love to get your perspective on a labor force take-up at the operator level of your partnerships. Has there been any regions or mines where you think that's a particular risk that the returning labor force would be less than optimal? Whether that be because the mine is deemed essential or we're seeing gradual restart of some of those operations?
Randy Smallwood: Yes, I would say that that is going to be a challenge at pretty well every operation. Our rough vision in terms of how these mines that are under temporary suspension would be that it will be a three to four month gradual take-up as sites are successful, in terms of restarting. And obviously, everyone will be watching closely in terms of the overall performance. And if there's any type of negative response from restarting these things. If all of a sudden where you have a virus outbreak or something like that, that's going to really set things back. And so it's a sensitive and very fluid time in that situation. And in fact, we feel that there's probably going to be and we've seen this at some of our other operations that aren't under temporary suspension. There is higher absenteeism rates as people that aren't comfortable with that environment stay away. And so this is going to be a challenge that the industry faces. I think time is going to be the issue that provides that comfort, that provides that belief in the safe environment. And so what we hope to do is make sure that what the industry has to do as a whole is make sure we have the proper policies and procedures in place to maintain strong physical distancing, to minimize exposures through a number of different concepts. You get rid of common lunch areas, like there's all sorts of strategies that can be put in place to minimize risk. And as long as the industry keeps focusing on that, hopefully it's not as bad as even we've as what we expect in terms of that. But it's going to be the track record that actually shows that it can be done. That'll provide comfort to some of the employees that have -- that may be either of a higher risk group or just maybe more uncomfortable about this.  Our expectations are, it's probably going to be about a 10% to 20% impact on assets that aren't suspended. But time is going to provide that answer. It's one of the reasons that we haven't, even though we've got sort of announced dates with respect to restarts, we're not going to give updated guidance in 2020, until we have confidence about that. We start projection about how these assets look like going forward. So, I don't expect to be giving updated guidance for at least a couple of months. As we watch and monitor how these restarts move forward.
Ralph Profiti: And Randy on the CSR Fund actually just launched, you did mention some of the operations where that's ending as concentrated and it sounded to me like most of the spending around the communities for is for testing and health related matters, but also in some of these areas you talked about are pretty remote. I'm wondering if you're seeing in these communities stresses on even basic human needs, food, water, shelter, that type of stuff. 
Randy Smallwood: Yes. Well, and I did list off a bunch of this stuff in terms of health focus, but we've also food banks and very, very important part of our contributions. And in fact, I think in the quantum, it's probably about a little bit less than half of the money that's gone out has gone towards food banks and frontline charities that are providing direct support. And so we've been, really sort of focused on that side. This is not, this fund that we, the CSR fund that we put that we came up with. It's not there to sort of support research. It's there to support the front lines to try and help our partners be more successful in managing the risks at these sites and minimizing the impacts. And really I think that's what it comes down to is just the stronger, we have this undying belief in Wheaton that the stronger our partners are, the stronger we are. So everything we can do to help our partners be successful in managing risks and moving forward will deliver returns to us. And it's just, it's the right thing to do. It's an area that we're proud to provide that focus. I think it's what makes Wheaton unique in the streaming space is the fact that we do put a lot of effort in terms of trying to provide additional support to our partners.
Haytham Hodaly: And Ralph, just to follow-up on what Randy said, I mean, some of the programs we're sponsoring, one of them is providing food to 4,000 families in the Amazon. Another one that we're looking at right now in addition to the medical side and the food side is even the socioeconomic, where we're looking potentially to help fund mask manufacturing in a remote community, just to give them some additional income coming in besides the mine. So, we're looking at a pretty broad based response to the fund.
Ralph Profiti: Well done. Thank you.
Randy Smallwood: Thank you, Ralph.
Operator: Your next question comes from the line of George Topping with Industrial Alliance. Please go ahead. Your line is now open.
George Topping: Hello everyone. The voice is very tone free in care and maintenance. Any thoughts on what [indiscernible] but also anything else that they, that they're looking before they restart the operation after three months?
Haytham Hodaly: Yes. George. [indiscernible] there's a couple of things they want to restart. They’ve shut down. They didn't have to, Canada hasn't mandated them, nor did the province that they shut down. This was more in a response to protecting the local indigenous communities nearby. What they're going to want to make sure they see is that any kind of viral outbreak is controlled and not threatening the indigenous community. As Randy said part of that will come with time and also bolstering and making sure that those local indigenous communities do have adequate access to healthcare. Right now they said it was a four months shut down. They announced that about a month, month and a half, and we're looking at another two to three months. And we wouldn't anticipate at this point, any reason why they wouldn't say restart according to that timeline.
Randy Smallwood: George, one of the things you have to recognize is that remote Northern communities, if you go back a hundred years, they suffered seriously through the Spanish flu that happened about a hundred years ago. And there's still pretty strong memories of that in a lot of these remote Northern communities. And so the matter of just being sensitive towards those concerns. And I think Vale – Vale has given us lots of examples as to why we think we're – they’re one of our strongest partners. And this is a good example of them respecting the needs of the local community.
George Topping: Right. Yes, I totally understood. And it's unlikely that comes into play, but I was just interested that you probably wouldn't even use it, but the late penalties if for whatever reason they cannot deliver January 1, 2021 like Pampacancha?
Randy Smallwood: At Pampacancha, this is now Constancia down in Hudbay. So…
George Topping: So that was meaningful Vale on the cobalt, so whatever reason they don't deliver.
Randy Smallwood: Oh, right. So – right, okay. So, you know what, if there's a suspension of operations from COVID, there is no late penalties for that. We get our percentage of our cobalt from the Voisey's Bay operation, irrespective of – and if it's not operating for something like this, there is no penalties. We’ll in a perverse way sort of highlight the fact that the suspended operations, of course, the cobalt that would normally being produced now is being pushed back and we'll actually now fall into our contract term. So, we will wind up with ultimately more metal out of this as a result of this suspension immediately. I have a hard time believing that when I – when I look at what's happening in the rest of Canada with respect to the mining industry, I'm pretty comfortable that that Vale will find a way to restart operations before the end of this year at Voisey's Bay. I – and I know that they'll find a way to do it with minimized risk as much as possible. We've seen that – we've seen Vale being very successful down at Salobo in terms of managing that risk. We've seen them at Sudbury taking good initiatives there. So I'm confident that they'll find a way to provide that comfort to those communities and have that operation up and running as January 1st gets closer.
George Topping: Got it.
Gary Brown: And George, I guess, I would just add to that. It's Gary here. The part of the protection we get from the Voisey's Bay contract is that we receive cobalt regardless of whether it comes from the underground or the open pit. And so, the open pit operation there is expected to be up and running by January 1st. And so that would be ounces that we hadn't or – or cobalt rounds that we hadn't anticipated receiving in the first place, when we valued that opportunity.
George Topping: Got it. Great. Okay. Thanks a lot.
Randy Smallwood: Thank you, George. Stay healthy.
Operator: Your next question comes from the line of Jackie Przybylowski with BMO Capital Markets. Please go ahead. Your line is now open.
Jackie Przybylowski: Thanks very much. I just wanted to circle back to your comments on growth. With these – the equity markets including [indiscernible], does this change your view at all on looking at other maybe smaller roles of these streaming companies or packages or relatives from private companies? And how would the due diligence for that kind of situation differ from the asset level due diligence?
Randy Smallwood: Yes, Jackie, I'll start off and then let Haytham chime in if so mind. So, we – in terms of consolidation within the industry, we constantly are monitoring that to keep an eye on it, but I will say this is a strong business model. And when we can make acquisitions that about one times now, it's tough to sort of compete with going out and actually sourcing the new opportunities. And I do believe that we're going to see a wealth of opportunities over the next couple of months as people get the way through this pandemic. And especially on the base metal side with the weakness in base metal pricing, we're comfortable. We're going to see a lot of opportunities in that space. Obviously, if it did come to a consolidation opportunity, most of those assets that we've seen that that other competitors or peers would have acquired, our assets that we would have looked at during the original due diligence process anyways. The most – in fact that pretty well every opportunity out there has been a competitive process. And so, we've had a crack at some of this – some of these opportunities. And I will say that if there – if there were good quality opportunities and a lot of them don't meet our criteria from a quality perspective, but then after that we have to be cognizant of the – of some of the weaknesses, the structural weaknesses that – particularly the private capital, the private equity money has been pushing into their – their contracts, which dramatically lowered the value of their opportunities. And we've seen some pretty dramatic failures on several fronts over the last six to eight months where they tried to – to – different forms of a liquidity event in terms of trying to crystallize that. And the market was intelligent enough to realize that there were structural weaknesses that dramatically dropped the value of those opportunities relative to a traditional streaming portfolio like we have. And so, we always have to measure it that way. And I think there has been some good signals from the market back to those private equity groups about the impact of some of their decisions and how that does impact value on an overall basis. So, we're constantly open to that. And we have had the success on that front in the past. And so, we'll continue to monitor, but I would predict that it's unlikely over the next while mainly because we see better value in terms of new opportunities out in the mining space. Haytham, do you get anything you want to add to that?
Haytham Hodaly: Yes. Thanks. Good morning, Jackie. Just I guess the only thing I'll add with regards to consolidation in the streaming space specifically is that we're always monitoring for these things. We've got our own internal models that we go through and do the analysis on. I can tell you it's only recently that our share price has actually started to recover, so we're not there yet. Everything we do has to be accretive. We're not looking at growth for the sake of growth. So that's the one thing to keep in mind. Secondly, with your second question with regards to due diligence on royalty packages, yes, Randy hit the nail right on the head. We've been to a lot of these sites already. And the one thing you have to recognize when these royalty packages come up, you typically don't get the ability to actually go to these sites anyway because it's somebody holding a royalty from another corporate, from another company. So you know, you do a lot of the desktop due diligence and you make sure that you're comfortable from that perspective. There's a reason we haven't done a lot of these royalty packages. We refuse to pay higher than what they're worth whereas others are willing to use their paper to do so. We're going to focus on high quality streaming transactions. That's where we see the biggest – the most – the best growth in this environment and that's where we make the best return for our shareholders.
Jackie Przybylowski: That sounds great. Thanks a lot. That's all the questions I have.
Randy Smallwood: Well, thank you, Jackie and stay healthy. Thank you everyone for dialing in today. In closing, we believe Wheaton is well positioned to continue delivering value to our shareholders for a number of different reasons. Firstly, by having low and predictable costs that resulted in some of the highest margins in the entire precious metal space and strong operating cash flow. Secondly, through a growing dividend that we increased by over 10% from 2019. Thirdly, through our steady organic growth profile over the next several years and proven track record of accretive quality acquisitions. Fourthly, by offering our shareholders exposure to some of the best mines in the world through our high quality portfolio of long-life, low cost assets. And lastly, by being a leader amongst precious metal companies and sustainability through initiatives such as the CSR Fund and supporting our partners and the communities in which we live and operate. I do look forward to speaking with you all again soon. Stay healthy and stay safe. Thank you.
Operator: This concludes this conference call for today. Thank you for participating. Please disconnect your lines.